Operator: Ladies and gentlemen, thank you for standing by. At this time, I would like to welcome everyone to the fourth Quarter 2025 Cooper Companies Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question and answer session. If you would like to ask a question during this time, simply press star followed by the number one on your telephone keypad. If you would like to withdraw your question, again, press the star one. I would now like to turn the conference over to Kim Duncan, VP of Investor Relations and Risk Management. You may begin.
Kim Duncan: Good afternoon, and welcome to Cooper Companies fourth quarter and full year 2025 Earnings Conference Call. During today's call, we will discuss the results and guidance included in the earnings release and then use the remaining time for questions. Our presenters on today's call are Al White, President and Chief Executive Officer and Brian Andrews, Chief Financial Officer and Treasurer. Before we begin, I'd like to remind you that this conference call will contain forward-looking statements including statements relating to revenues, EPS, cash flows, interest, FX and tax rates, tariffs and other financial guidance and expectations. Strategic and operational initiatives, market conditions and trends, and product launches and demand. Forward-looking statements depend on assumptions, data or methods that may be incorrect or imprecise and are subject to risks and uncertainties. Events that could cause our actual results and future actions of the company to differ materially from those described in forward-looking statements are set forth under the caption Forward Looking Statements in today's earnings release and are described in our SEC filings including Cooper's Form 10-Ks and Form 10-Q filings, all of which are available on our website at coopercos.com. Also, a reminder, the non-GAAP financial information we will provide on this call is provided as a supplement to our GAAP information. We encourage you to consider our results under GAAP as well as non-GAAP and refer to the reconciliations provided in our earnings release which is available on the Investor Relations section of our website under Quarterly Materials. Should you have any additional questions following the call, please email IR@CooperCo.com. And now I'll turn the call over to Al for his opening remarks.
Al White: Thank you, Kim, and welcome, everyone, to today's earnings call. I'll start by highlighting three key strategic priorities and then move into our quarterly results and guidance. Our first priority is to deliver consistent market share gains for CooperVision. We've accelerated the global rollout of our MyDay premium daily silicone hydrogel lens portfolio and we're seeing momentum build. We're executing on numerous global private label contracts and winning new ones. And we're strengthening branded sales, especially among independent optometrists. We're also looking forward to several upcoming product launches to further strengthen our positioning and ensure CooperVision delivers steady revenue growth throughout fiscal 2026 with the strongest performance expected in Q3 and Q4, as MyDay achieves full traction. Second is our continuing commitment to earnings and free cash flow. This quarter marked our eighth consecutive quarter of beating consensus earnings expectations our fiscal 2026 earnings guidance exceeds current consensus expectations driven by significant cost savings from our recent reorganization. Additionally, for the past two years, we've reported double-digit earnings growth and we're targeting making it three years in a row. And importantly, these earnings are turning into cash, with $150 million of free cash flow delivered in Q4 beating expectations. I'm also pleased to announce this momentum is continuing. And we're raising our fiscal 2026 to 2028 free cash flow target to more than $2.2 billion. Our entire organization is aligned behind these efforts as free cash flow became a bonus metric in 2024. Alongside revenue and earnings. Third is our attention to returning capital to shareholders. We repurchased nearly $200 million of stock in fiscal Q4, bringing our total fiscal year repurchases to almost $300 million or roughly two-thirds of our 2025 free cash flow. For fiscal 2026, we expect to allocate a similar percentage to share repurchases with the remaining portion targeted to debt pay down. To support this effort and to reinforce our commitment share repurchases being a core component of our long-term capital allocation strategy the board authorized an increase in our share repurchase plan to $2 billion in September. Before moving into the quarterly details, I want to emphasize that our board and management team remain highly focused on driving long-term shareholder value. We've accelerated share repurchases, Insiders have bought stock. We've completed significant reorg and integration activity to increase profitability and cash flow. And we've been winning new contracts and solidifying long-term customer partnerships CooperVision and CooperSurgical. Additionally, we initiated an evaluation of strategic alternatives earlier this year and presented our initial findings to our board in October. Alongside ongoing governance discussions around the timing of our chair's transition to retirement. Today, we have taken the next step by issuing a press release announcing formal strategic review to ensure that we explore every opportunity to unlock long-term shareholder value. We also announced the transition of our chair role from Bob Weiss to independent board member Colleen Jay. And finally, we're adding total shareholder return to our executive performance share plans to further align leadership incentives to our stock's performance. With that, let's move to the Q4 results. Consolidated revenues were up 4.6% year over year or up 3.4% organically to a quarterly record $1.065 billion. Operating margins improved meaningfully, and non-GAAP earnings grew 11% to $1.15. For CooperVision, we reported revenue of $710 million up 4.9% or up 3.2% organically. These results were consistent with our guidance, driven by improved global availability of MyDay, partially offset by market softness in China and certain areas in EMEA. Overall, the global contact lens market continues to trend toward premium offerings, which is a positive for our MyDay portfolio, including our premium private label MyDay business, but it does create headwinds for Clarity, in our older hydrogel lenses. On an organic basis, by category, torics and multifocals grew 5% and spheres grew 2%. Bimodality, daily silicone hydro hydrogel lenses grew 5%, with double-digit growth in MyDay and declines in Clarity. Our silicone hydrogel FRP lenses by OFINITY and Avera grew 2% and MiSight delivered strong growth of 37%. Regionally, The Americas grew 5% led by strength in daily silicone hydrogel lenses. AMEA grew 3% strengthening our number one market position led by MyDay and Biofinity. This was slightly below expectations due to market weakness in a few countries, but this doesn't appear to be tied to consumer activity, and we've already seen a pickup this quarter. Asia Pac was flat as growth in MyDay was offset primarily by a 28% decline in China, driven by continued weakness in low margin e-commerce channels where we're not chasing aggressive pricing activity. Moving to products. MyDay delivered a strong quarter led by Torix and Energous. We're continuing to execute on the private label deals we won in Q3, and I'm pleased to report that we won quite a few more contracts in Q4, several of which are in The U.S. And Europe. So you'll see those in the coming months. Momentum is robust, we're seeing increasing bidding activity with especially strong interest in our premium comfort MyDay Energous lens featuring our innovative digital boost technology, which we expect to launch in Europe in Q2 of this year. From our MyDay multifocal, which continues to roll out in the APAC region and from our MyDay toric parameter expansion, is expanding around the world. We'll also be launching MyDay MySite and MyDay Toric multifocal in 2026 and we expect those offerings to be received incredibly well. For clarity, we're progressing with repositioning the product family in Asia Pac, and we're seeing early positive signs with products such as Clarity's new three ad multifocal launch, what the which delivered double-digit growth in The Americas. Regarding FRPs, Biofinity delivered solid performance in The Americas, and EMEA led by multifocals, Energous, and our innovative made to order lenses. But remains soft in Asia Pac, especially outside of Japan. This was similar to last quarter with continued weakness in markets such as China. Turning to myopia control. MiSight delivered strong growth of 37% driven by robust performance in The Americas and another record-setting quarter in EMEA. Our back-to-school campaigns boosted fitting activity, while customer engagement initiatives and new pricing models supported higher purchase volumes. We expect this momentum to continue into fiscal 2026, with the upcoming launches of MySite in Japan and MyDay MySite across Europe. Both scheduled for fiscal Q2. Private label programs in Europe and other select markets are also proving highly successful and we expect more details to deals to be signed this year. With MiSight growing 30% in fiscal 2025, reaching a $104 million in sales, we expect growth of at least 20% to 25% for fiscal 2026 with further strength in 2027 as product launches gain traction. To conclude on Vision, let me share details of our performance relative to the market. This is calendar quarter data, so it's apples to apples with our competitors. In calendar Q3, we grew 5%. In line with the market. And on a year-to-date basis, for the three calendar quarters of 2025, we've grown 4%. Also in line with the market. CooperVision has gained share for seventeen straight years and we remain focused on achieving that goal for an eighteenth consecutive year in calendar 2025. Turning to CooperSurgical. We delivered quarterly revenue of $356 million, up 4% or up 3.9% organically. This was at the high end of our guidance range driven by solid execution. Within fertility, revenues were a $141 million, up 1% in line with expectations given last year's 13% comp. Growth was driven by market share gains in EMEA and strong global genomics performance. Partially offset by softness in The US. As we enter fiscal 2026, we're optimistic this that this will be a stronger year. We're seeing encouraging traction with new RFP wins, from some major fertility clinics We're receiving significant interest in WITNESS, our automated lab tracking system, and our genomics portfolio is seeing an uptick in momentum following the recent launch of several new tests. For the overall fertility market, consumer spending remains tight, especially in Asia Pac, and clinics are continuing to manage spending carefully but we are seeing some early positive signs, including improving cycle activity in The US and growing global clinic interest in new technology. We remain highly optimistic about the long-term outlook for fertility given the underlying fundamentals supported by the estimate that one in six people globally are expected to experience infertility at some point in their lives. Underscoring the long-term significance and resilience of this market. Moving to Office and Surgical. Sales were $215 million up 6% and up 6% organically. PARAGARD grew 16% following a softer Q3, driven by strong demand for our single hand inserter upgrade that was launched earlier this year. Medical devices grew 3% led by double-digit growth in our labor and delivery portfolio. And a 35% increase in our OBP surgical line of innovative single-use lighted cordless surgical retractors. These gains were partially offset by softness in legacy products. Moving to fiscal revenue guidance. For CooperVision, we're guiding fiscal Q1 to 3.5% to 4.5% organic growth as we continue stair stepping higher with execution around ongoing contract wins. For the full year, we're guiding to 4.5% to 5.5%, assuming the market grows 4% to 5%. Our expectation is that current momentum will result in strong share gains in Q3 and Q4 but we're maintaining conservatism to avoid having guidance be too back end loaded. For CooperSurgical, we're guiding Q1 to 2% to 3% growth and full year to 4% to 5% growth. Within this, we're forecasting only a modest improvement in fertility, which we're optimistic will prove conservative given some of the recent market trends along with much easier comps. Before turning the call over to Brian, wanna thank the entire Cooper team for their outstanding execution this quarter. Delivering strong results during a period of significant organizational change reflects our team's commitment to building a more streamlined and efficient company and it speaks volumes to the company's dedication to excellence. And with that, I'll turn the call over to Brian.
Brian Andrews: Thank you, Al, and good afternoon, everyone. Most of my commentary will be on a non-GAAP basis. So please refer to the earnings release for a reconciliation of GAAP to non-GAAP results. For the fourth fiscal quarter, consolidated revenues were $1.065 billion up 4.6% and up 3.4% organically. Gross margin declined marginally as expected, to 66.2% driven by tariffs and product mix, partially offset by positive foreign exchange. Operating expenses were flat, reflecting disciplined cost management and operating income increased a healthy 9% to a 27% margin. Interest expense was $23.7 million and the effective tax rate was 14.2%. Non-GAAP EPS grew 11% to $1.15 with 198 million average shares outstanding. Free cash flow was strong at $150 million with CapEx of $98 million and net debt was $2.4 billion improving our bank defined leverage ratio to 1.76 times. Lastly, we repurchased 2.9 million shares for $197.3 million. Leaving approximately $1 billion of availability under our $2 billion repurchase plan. Before moving to guidance, let me recap the reorganization and integration work we completed in Q4. We began executing this effort in early Q3, and moved quickly with a clear focus on improving operational efficiency and reducing back office costs. By leveraging prior IT investments, supported by AI capabilities, We integrated key support functions and are unlocking meaningful productivity gains. At the same time, we completed significant acquisition related integration work. From a financial perspective, we recorded approximately $89 million in charges associated with all of this activity. And expect annual pretax savings to be roughly $50 million or 19¢ starting in fiscal 2026. Beyond operating margin expansion and free cash flow benefits, these savings strengthen our ability to invest in high return opportunities repurchase stock and pay down debt. Fully aligned with our commitment to long-term value creation. Moving to guidance, and starting with Q1, we're guiding to consolidated revenues of $1.019 billion to $1.03 billion representing roughly 3% to 4% consolidated organic growth. CooperVision's revenue is expected to be in the range of $693 to $700 million. Up 3.5% to 4.5% organically. And CooperSurgical's revenue is projected to be $327 to $330 million. Dollars up to 2% to 3% organically. For earnings, we're guiding to non-GAAP EPS of $1.2 to $1.4 with improving operating margins from strong operational leverage, offset by lower gross margins due to tariffs and mix. Interest expense is expected to be around $24 million and the effective tax rate to be in the range of 15% to 16%. For the full year, fiscal 2026, we're guiding to consolidated revenues of roughly $4.3 billion to $4.34 billion reflecting 4.5% to 5.5% organic growth. CooperVision is expected to be in the range of $2.9 to $2.925 billion. Up 4.5% to 5.5% organically. And CooperSurgical is expected to be in a range of $1.4 to $1.413 billion. Up 4% to 5% organically. For earnings, we're guiding to non-GAAP EPS of $4.45 to $4.6 This assumes another year of strong operating margin improvement driven by operating expense leverage, offset by lower gross margins due to tariffs and mix. Interest expense is expected to be around $85 million assuming no share repurchases or changes in Fed policy. Note that if the Fed does lower rates next week by a quarter point, interest expense would be reduced by roughly $2 million in fiscal 2026. The effective tax rate is expected to be in the range of 15% to 16%. Free cash flow for fiscal 2026 is expected to improve to $575 million to $625 million driven by stronger operating cash flow from higher profits, working capital improvements, and lower one-time costs. CapEx will also decline on an absolute basis as CooperVision's investment cycle winds down. These positives will temporarily be somewhat offset by roughly $70 million tied to our reorg and final payments on building activity including our new CooperVision R&D facility. From fiscal 2026 through 2028, we expect to generate over $2.2 billion in free cash flow.
Al White: This outlook reflects two key drivers.
Brian Andrews: First, consistent improvements in operating cash flow from higher profits. Lower one-time items, and tighter working capital management supported by a streamlined and AI-enabled operating structure.
Al White: And second,
Brian Andrews: CapEx normalizing in fiscal 2027 to roughly 5% of revenues. Covering both maintenance and growth investments. Lastly, on cash flow, at the divisional level, Cooper Surgical generates more free cash flow per revenue dollar than CooperVision. But we expect that gap to narrow materially in 2027. As CooperVision's CapEx declines and free cash flow accelerates. From a capital deployment standpoint, we remain committed to investing in growth and innovation, repurchasing stock, and reducing debt. Lastly, as you'll see in our 10-K tomorrow, we have successfully remediated the material weakness related to certain IT general control failures from fiscal 2024. And with that, I will turn it back to the operator for questions.
Operator: Thank you. We will now begin the question and answer session. If you've dialed in and would like to ask a question, press star or one on your telephone keypad to raise your hand and join the queue. If you would like to withdraw your question, simply press star 1 again. If you're called upon to ask a question and are listening via speakerphone on your device, please pick up your headset to ensure that your phone is not on mute when asking your question. We do request for today's session that you please limit yourself to one question and one follow-up question. Our first question comes from Jeff Johnson from Baird. Please go ahead. Thank you, guys. Good evening, and congratulations on the progress in the quarter. Al, I wanted to talk, I guess, first on clarity. Obviously, a good MyDay number in the period. Did you give a
Kim Duncan: for how much Clarity was down? And I think that's been about a $400 million annualized line for you guys. What is maybe the floor on that? And is that
Operator: continues to come down and MyDay grows, do you see those MyDay gross margins eventually within the next year or two getting to Clarity gross margin levels? Thanks.
Al White: Yeah. I'll let Brian comment on the gross margins because we've made a lot of progress there. Yeah. Clarity was down a couple percent this quarter, and it's it's approached it approached $400 million this year. So it's still pretty sizable product line for us. We're doing a lot of work on it right now. We've got some new products that we're launching. We're excited about the three ad multifocal in The US is being received really well. But on the flip side of that, we're doing some repositioning in places like Asia Pac to to put that that lens family more in the entry level space that we want it to be in. So we're gonna continue to have some push and pulls here, I think, over the next couple of quarters, but I do still think that there's a place for that lens and it has the opportunity to be very successful. If there's ever a situation where the market moves a little bit more towards mass market or is a little bit more price conscious, I think you'll see that lens take off. But in the meantime, to hit on the the start of your question, Jeff, yeah, good quarter for my day. We are making a lot of progress there. We have a lot of really exciting stuff going on. You wanna comment on margins? Yeah. Sure. Thanks for the question, Jeff. I will comment on individual product line gross margins, but I will say that the gross margins for the family of products of daily silicone hydrogel lenses is below CooperVision's gross margins. I talked about mix being part of the reason for for the gross margin decline in Q4. It'll be part of the reason for the gross margin decline year over year next year. And as we sell more daily silicone hydrogels, I would expect that we'll still have pressure on the gross margin line. Now that being said, we do get more revenue per patient when we sell daily SiHy's We get more gross profit dollars, and we get more operating income dollars. And so as we leverage our prior investment activity, and a more streamlined organization, I would expect we'll be able to drive operating margin expansion and earnings growth despite some of the headwinds we'll be seeing from the gross margin line.
Operator: All right. Thank you, Brian. And maybe just one quick follow-up. Just whenever you guys give calendar versus fiscal numbers, it always opens it up to a question like this. But if you did 5% growth in calendar 3Q, Al, and you did 3.2% in fiscal Q4, it would seem to imply a pretty weak October, I believe, if I'm thinking about that correctly. But just tell me why I'm wrong there or at least kind of help reconcile those two, the 3.2 and the 5% numbers? Thanks.
Al White: Yes. It was the flip side, Jeff. It was actually the beginning of the quarter, the overlap in the beginning of the quarter. Not the end of the quarter. October was a good month.
Operator: Our next question comes from Laurence Biegelsen from Wells Fargo. Please go ahead. Hey. Good afternoon. Thanks for taking the question.
Larry Biegelsen: Al, could you please talk about the strategic review How long will it take What's your reaction to those who have advocated for splitting up CVI and CSI and you know, and adding new board members.
Al White: Sure. The we announced a strategic review. For those who haven't seen it, we issued press release concurrently with the earnings release. We're going to take a look at options out there because we do wanna drive shareholder value. Right? And we look at that. And we were doing that work proactively with our board over the summer. We actually presented strategic analysis and a strategic review to them in the month of October and and we obviously put that out publicly. We'll provide an update on any activity on our next earnings call, which is the March. That's our Q1 earning call unless something material happens beforehand in if it does, obviously, we'll we'll issue a press release or, make a statement on that. So outside of that, I'm not gonna comment too much on it, but, yeah, it's underway.
Larry Biegelsen: So so no comment on know, I mean, just maybe your latest thoughts. Obviously, there's are others out there now advocating for splitting up CVI and CSI. Has your position changed out know, just love to hear your latest. Thoughts on that, and and I'll I'll leave it at that. Thanks for taking the question.
Al White: Yeah. My position has not changed on that. We discussed that, actually, Larry, at your conference, in September. You raised it, and I gave my opinion on that. And my opinion has not changed, which is our job is to drive long-term shareholder value. If if taking certain actions are beneficial for our long-term shareholders, then we need to evaluate those. As I talked about in the September meeting that we did, I I believe if we drive value in this business, that we'll maximize long-term shareholder value. And that's what we're doing. That's what we did with the reorg. That's what we're doing with stock buyback. That's what we're doing driving cash flow. That's what we're doing in a whole slew of different ways. But we're gonna look at the value of this business and do what's best for our long-term shareholder long-term shareholders. That's our job as as executives of of public company.
Operator: Our next question comes from John Block from Stifel. Please go ahead.
Jonathan Block: Great. Thanks, guys. How I think your contact lens market growth expectations for 2026 I think you said for the market 4% to 5% Year to date, the market's 4%. And I don't know. It just seems like industry pricing power is fading a bit. So, you know, just talk if you don't mind about sort of the market growth assumption or construct Like, what's behind that assumption If we do finish this year four, even a tad below, what's responsible for market growth acceleration if pricing power is decelerating? And then I'll ask a follow-up.
Al White: Sure. Yeah. John, I I might go the other direction a little bit on that one. We grew as a market, grew 4% in Q1 calendar Q1 and four percent Calendar Q2. The market grew 5% in calendar Q3. It actually increased this last quarter. I do think that the that we're gonna be in a four to 5% market growth for this year. I'd be really surprised if we're not. From a pricing perspective, I think global pricing next year will end up being somewhere around that 1% on a true global net basis. So probably pretty similar, frankly, to what it what it was this year, which leads me to believe we'll probably be somewhere in that four to 5% range next year. I do think this quarter, which was five, was probably a little bit better representation of where the market is. So I say four to five, but honestly, I think it'll be closer to five next year.
Jonathan Block: Okay. Fair enough. And then just to shift gears, like, you know, I think like a different approach in terms of going to CDI numbers for for you guys. Rather than from, like, a product standpoint to a geography standpoint. I mean, APAC, falling around 0% for fiscal twenty five. It was up gosh, 7% in '24. And then at some point, this thing was growing 13, 14% in prior years. So for fiscal twenty six, is it you know, sort of like a more of the same argument in America's and EMEA for the most part, but we just see that APAC claw back a little bit closer to mid single digits. You know, function of my day, but also a function of getting some of these quasi one timers be behind you. Just looking for any direction from a geographic perspective.
Al White: Yeah. I think you're right, John. At the end of the day, you know, we had some struggles in Asia Pac this year. It was heavily focused on the pure play ecommerce channel. That's where we lost, share. I mentioned that, China was down 28% in Q4. As you remember, it was down kind of mid-20s in Q1 and Q3. So our China business is quite a bit smaller this year than it was the year before. And, again, heavily focused on low margin That's the reason that you've seen our revenues come down and be a little bit softer, but you haven't seen the impact on our profit. Now we clear do clearly do not chase revenues at all cost. We would never do that, and that's a great example of where we don't do it. We don't we're not chasing the market where we're seeing some participants with super aggressive pricing out there. We're maintaining fiscal responsibility and and sensibility around how we operate. What I will say is as we move into fiscal twenty six, is these markets like China and the pure play ecommerce and some other markets have become a much smaller percent of our overall business. So we're not gonna see the same detriment in '26 that we saw in '25.
Operator: Our next question comes from Robbie Marcus from JPMorgan. Please go ahead.
Lily: Hi. This is Lily on for Robbie. Thanks so much for taking the question. The guide is a bit more back end loaded from a revenue growth perspective. So what gives the confidence in growth stepping up over the course of the year? And what are some of the variables across vision and surgical that we should think about as improving over 2026?
Al White: Sure. Thanks, Lily. It's a little bit back end loaded, but it's not that much back end loaded. I mean, we intentionally did not get overly aggressive on Q3 and Q4 so that we wouldn't have a situation where it was heavily back end loaded. Even though, frankly, I'm pretty optimistic we're gonna have a strong Q3 and Q4 given where '4. As I mentioned, a number of those are in The US and in and in Europe. So, a number of people on the phone will start seeing some of those as we get into 2026. So I'm excited about what going on with MyDay and the progress that we're making, and that's gonna be one of your biggest drivers. It's gonna push forward the CooperVision business. When it comes to CooperSurgical, we're forecasting a relatively similar year next year to this year. And that includes kind of being conservative on fertility. I mean, I'm optimistic fertility picks up. And we certainly have easier comps that we're gonna against that's gonna help us a little bit. But we wanna stay a little conservative on fertility also and consumer spending. When I think about CooperSurgical, remember that we launched the single hand inserter for PARAGARD. At the beginning of last year, so we had a really strong Q1. That's the reason that we're guiding a little bit softer here. For Q1. Having said that, Paragard just had a really strong Q4 and finish to the year, so we'll see how that plays out because frankly, guidance for CooperSurgical assumes flat to low single digit growth in PARAGARD, and we did quite a bit better than that this year.
Lily: Great. That's helpful. And then just as a follow-up, I was hoping you could talk a bit more about the improved free cash flow outlook What's driving that increase relative to the prior guide? Is any of that step up coming from decreased investment in SG and A or R and D? Thanks so much.
Al White: Sure. Yes. The way to think about free cash flow is it is not back end loaded. It's just consistent performance, consistent execution. And we'll step up nicely this year by continuing to do exactly what we've been doing. I mean, we just posted the $150 million in Q4, which was strong, and we're gonna continue to post strong quarters here by delivering earnings growth, by doing some of the working capital management that Brian mentioned, And then as we move into next year, you're gonna see CooperVision's CapEx come down. Our our maintenance and growth CapEx is about 5% of revenues. It's somewhere in that range. Right? And we've been running up for single digits. So you're gonna see that come down as we make final payments on our MyDaylines this year. And then we're also completing a some relatively significant business activity. And the last thing we really have this year is our new CooperVision R&D facility going up. So as those roll off and you continue to see profits grow, 2027 is gonna be a a nice free cash flow year. And then I think it's just more consistency the next year. So we're saying over $2.2 billion now. Frankly, we feel pretty good about that number, the over on the $2.2 billion side of it.
Operator: Our next question comes from Jason Bednar from Piper Sandler. Please go ahead.
Jason Bednar: Hey. Good afternoon, guys. Wanted to start first with I think I heard you right, there aren't any repurchases assumed in earnings guidance for fiscal twenty six. But I thought you referenced in the supplementary PR today that you're allocating free cash entirely to to repurchase this. So just how to reconcile that? Is that just conservatism, or did do I have something incorrect there?
Al White: Yeah. So we we spent about two-thirds of our cash flow this past year on share repurchases. And we're targeting spending about two-thirds of our free cash flow on share repurchases in twenty six. That will be EPS accretive. We did not include that in the guidance. Range.
Jason Bednar: Okay. Alright. Got it. And then as as a follow-up, you know, Al, good to see the TSR addition to the comp plans. I think a lot of us will be happy to see that. I I did wanna ask just if you could discuss how you landed on Colleen as the next chairman for the business. I know it's maybe a bit of a hot button issue right now just given of the items out there in the public domain. But if you could just discuss, you know, why would that was the right move for the board in the context of other options, whether currently on the board or not on the board? Thank you.
Al White: Sure. We've been having conversations over the last year with Bob. You know, and and and driven by Bob. I mean, Bob's a great guy. Right? He has a ton of value. But he's gotten to the point where he's saying, hey. I wanna go into full retirement. And if it's that time for me. So we were talking about it in the context of transitioning the chair leadership over and how that should happen and when that should happen, and this was the right time to do that. Colleen has been with us for a number of years. She's fantastic. She's super smart. She was a top executive over at Proctor and Gamble. She's got global experience. She's got branding experience. She brings a lot to the table, and she just does a really nice job. She's And and she as I said, she adds a lot of value. Across the board, which is great. She was the one who probably six months ago brought up the TSR and said, hey. We need to roll the TSR into here and look at shareholder returns make sure we're aligning executive comp even closer to the stocks performance. And she brought that together with our consultants and so forth and put a plan together. And and, yeah, as I mentioned, we're gonna be rolling that in. So I think she's the perfect perfect person to step in as the chair. And Bob's got Bob's plan is continue to work with her and transition transition the role over to her to ensure it's just it's a really smooth process.
Operator: Our next question comes from Travis Steed from Bank of America. Please go ahead.
Travis Steed: Hey, everybody. I just curious on with the strategic review, your willingness to take short term dilution to create longer term value and how you kind of balance this short term for the long term? And and and also how you think about consolidation in the contact lens space. So there's essential synergies there and antitrust risk with with actions like that.
Al White: Well, I think that I mean, you're always gonna have some of those questions around short term investments and short term activity and the impact on the long term. Be it across the board, right, product launches or product development or or any number of of moves that you can potentially make. So I think the important thing is what we set, which is, hey, we've done it. We've done some work on a strategic strategic review here, and people have asked the question about what does that mean. And what actions can you take and so forth. And what I what I wanted be clear about and that we issued the press release is is we've done a bunch of work on that. We're rolling up our sleeves to do more work on that, and we're and we're taking a serious look at all the different alternatives that are out there. Be it, a number of things, frankly, that we in that press release. So I'm not gonna go into all the details behind that other than to say, are rolling up our sleeves. We're working with our advisers. We're looking at the alternatives that are out there, and we wanna ensure that we're driving long term shareholder value. Nice, that's our heavy, heavy focus.
Travis Steed: Alright. That's fair. And then gross margin's down in 26. Just trying to understand exactly how you're getting operating margin leverage. Is SG and A not growing on 26? And how much are you going to be cutting in the business?
Al White: Well, sure. I mean, I think when you look at it, you can just plug the numbers in and you can see that OpEx itself or SG and A, if you will, is not going to grow very much. Because that's where we're set right now. So this is not additional cuts. This isn't like we need to go do things. We had this reorg activity planned out a while ago, and we completed it aggressively. And I think the team here did a fantastic job doing it aggressively and getting it done. And you can see that in the SG and A or in the OpEx, if you will, in our Q4 as reported results. And you should assume to continue to see that level of excellence in terms of of spending supporting the top line and driving leverage on a go forward basis.
Operator: Question comes from Matt Miksic from Barclays. Please go ahead.
Matt Miksic: Hey. Thanks so much for taking the questions. So one follow-up on on an earlier question. Around your your sort of intention expectation of gaining share here in the fourth calendar quarter? Maybe just talk about you know, where you see the the the various business lines inflect, anus, and vision, obviously. You know, just just some color as to which catalyst do you think are kinda lifting off a little bit in the last you know, month or so of of the year? And then I have one follow-up.
Al White: Sure, Matt. That's a really good question. You'll remember last year in Q4, we did not have a particularly good quarter. We had some competitors launching product and and they had a lot of activity going on and it was it was one of the weaker quarters that we've had with respect to the market in in a long time. So we are comping against that, and we are in a significantly better position in this calendar Q4 than we were in last calendar Q4. So what it comes down to is just weakness last year and strength this year, and a lot of that ties right to the topics we've been discussing starting with my day. So I do think we have an excellent opportunity to hear closest calendar year strong. And when you compare that to last year's weakness, it should be a pretty good number. I'm well, I said it in the call. Like, we're seventeen straight years of market share gains, and we have not given up on making that eighteen. So we'll see how things close out. That's great. And then the follow-up question
Matt Miksic: earlier on this as well, the sort of separation. You've talked about it. You've answered how you feel about it and creating shareholder value. You know, given that it's been sort of feels like it you know, these reporting lines and operating wise, feels like it has been know, running separately or independently in many ways. And you know, some might say ready. To to separate for some time. You know? What if if that's the case, if you looked at this before, you know, what is changing now you know, given given sort of the new board involvement and new investor involvement? That you think could could could make could make this possible now from a to the tax
Al White: basis? Is it a get the restructuring done, and it's a a tuned up you know, upgraded, you know, portfolio that that we think will get more interest What what would you say? Thanks. Well, I think that I mean, if you talk about a separation, it is a it is a negative in that it'll create dis synergies. It is a negative from a tax perspective. Having said that, you've seen a number number of companies, whether it's in the med device space or med tech more broadly or or even just more broadly just saying companies who have looked at their portfolios who have different different businesses within the within their under their umbrella, so to speak. And they've looked at different ways to say, hey. I wanna try to unlock value. I'm I'm gonna spin off my diabetes business, or I'm gonna spin this off. I'm gonna spin that off. Or I'm gonna look at different strategic alternatives. I think that's good hygiene. I think that's important to do, and and now is an appropriate time for us to do that. We made a ton of progress at CooperVision to position ourselves here to really get growing again and taking market share, and we made a ton of progress in CooperSurgical with our fertility business and and we're gonna do great in fertility. So I think when you look at the businesses right now, it's just fair to ask the question, which is, are there are there strategic moves that we can make that unlock shareholder value? And that's one of them. And I think it's important for us to roll up our sleeves and evaluate that, and that's we're committed to do.
Operator: Our next question comes from David Saxon from Needham and Company. Please go ahead.
David Saxon: Yes. Great. Thanks for taking my questions, and good afternoon. Maybe I'll start with CSI just on PARAGARD. Al, I think you said flat to up low single digits for fiscal 'twenty six. It looks like the competitive IUD is going to launch in the '26. Is there anything embedded in that ParaGuard expat expectation as it relates to that launch? And then you know, when you first acquired it, you talked about the margin profile really strong. Has there been any meaningful change to that margin profile? Then I'll have one follow-up. Sure, David. A couple of things.
Al White: Yeah. There is the competitor product that was approved. I have no idea if it's gonna launch or when it's gonna launch or anything else about it. We did factor in some conservatism, if you will, into that into the my guidance of kinda flat to up a couple percent, assuming that there is a competitive launch. Now I'm forgetting off the top of my head, Brian. Probably know. I think Paragard grew 7% this year. So I'm optimistic we'll have another good year. But, yes, we did factor in a little conservatism around the potential for a competitor launch. I will say the margins have come down a little bit because of the single handed sorter launch, that activity. Nothing that I would classify as material. But, yeah, the gross margins are a little bit lower on that product.
David Saxon: Okay. Great. Thanks for that. And then just on CVI, so the Asia Pac ecommerce dynamics, I mean, sounds like we'll lap that in the fiscal first quarter. But any residual impact from like the distributor channel inventory dynamic you talked about a couple of quarters ago or the private label conversion from Clarity to MyDay. Just how we should think about those moving pieces, as it relates to fiscal twenty six. Thanks so much.
Al White: Yeah. As we think about that from from an Asia Pac perspective, I think you're still gonna have a little bit of that noise frankly in Q1. And we factored that into the guidance. Right? We did 3.2 globally and we factored in three and a to four and a half as a company. And we factored in continuing weakness in Asia Pac in Q1. So whether we see that or not or how much that changes, like, we'll see, and we'll play that out. But you could see some of that, I think, as you continue to transition.
Operator: Our next question comes from Young Lee from Jefferies. Please go ahead. All right, great. Thanks for taking the question.
Young Lee: I guess to start, maybe a question about the the pipeline. You know, I did hear that you're launching some new products that can contribute to growth. But, you know, some of your competitors have been talking more and more about next generation contact lenses and materials. I was wondering if you can comment sort of where you are with your program.
Al White: Sure. We have some great stuff going on in R&D. Couple of things that I'm not gonna get into, but that I'm super excited about. We have some launches going on right now that I talked about. You know, we have some stuff like MyDay, MySite. I mean, that that is it that is, like, market leading innovation. First of all, we're the only contact lens company with an FDA approved product for myopia control in my site. And now we're launching MiSight on a silicone hydrogel platform with one of the leading brands out there in my day. I mean, you can't get much more exciting innovative than that, and that's coming here in Q2. And we've got some other really cool innovation and stuff, including some material work and so forth that we're doing internally. So I'm not gonna start touting that right now. It's not the time to do that. But suffice it to say, we have some have some good exciting stuff going on ourselves, and we have some some product launch activity that's pretty exciting right in front of us.
Young Lee: Okay. Great. Thanks for that. So I guess the follow-up question is just on the fertility business. Can you maybe go a little bit more into detail on the assumptions for growth year, you know, talking about the geographic variances between U. S. And the impact from consumer
Al White: Sure. Yeah. I mean, at the end of the day, it's going to be interesting to see what happens with fertility. I happen to believe that fertility by the end of the year will end up growing mid single digits. I think we'll grow a little bit faster than that. I think some of that's gonna come because of the easier comps. Some of that's gonna become because consumers just levels off in Asia Pac where it's been weaker. Some of that's gonna come because you have some some pretty cool technology upgrades that are working their way through the system right now, including by us. And you're gonna see some fertility clinics upgrading. Having said that, that is not what we factored into our guidance for this year. We factored in a more conservative expectation around fertility because I just don't wanna get ahead of ourselves there. So, when we look at it from a guidance perspective, kinda market more in the low single digits and us growing more in the mid single digits.
Operator: Our next question comes from Nathan Cai from BNP Paribas. Please go ahead.
Nathan Cai: Hi, thanks for taking my questions. On the MyDay can you discuss the revenue contribution of the MyDay product label contract? In APAC throughout 2026 and 2027. And then on fertility could you provide more details on the recently improving cycles you have called out and any changes in competitive landscape between you, VitroLife, and NexBring? And I don't if you can give some details on the new technologies. The clinics are interested in. Thank you.
Al White: Sure. A number of things there. I'll answer your last one first because some of the new technology you may have just seen or if anyone follows it at ASRM, is the big Fertility Conference Here In The US. We just launched three new genomics tests, that are being received incredibly well. And we have some other technology advancements that we're going to be launching this year. Within our genomic space and also within our capital space. And then we've got some super exciting stuff that we're working on in in our R&D side, that I'm excited to get out in the coming years. I I'm gonna step back to the my day momentum. You know, I talked about that last quarter and that we were winning contracts, and we've been executing on those contracts. A lot of that was tied to Asia Pac. As I mentioned, we're now seeing contract wins in EMEA and in the in The US. And you're gonna see that momentum build as we move into Q3 and Q4. So that's a process that's gonna happen. That's why I talk about the stair step improvements. Because we have to manufacture the product, have to label it and package it. We have to get it over into the hands of of the retailer, the key account, whomever it is, selling that product, and we have to get it launched. So it it does take a little bit of time. We clearly took a step forward here in Q4, and we're going to take a step forward again. And then we're gonna take another step forward as we execute on those contracts. This is not the first time we've done it. I've seen this many times over the years here. At CooperVision, and it's gonna happen again this time. So I won't give you specific numbers on that, but I will just say that as you win those contracts and as you execute on those contracts, just over the quarters, you start picking up energy on that. You and we see that momentum right now. Picking up from a fitting activity, and that's that's the key. The first step is get product in people's hands, get the fitting activity increasing and so forth, then it transitions It transfers over to the sales, and and you see that momentum building. And that's what we're seeing, and that's what I'm referencing. So I won't give you specific numbers on that, but, hopefully, that gives you enough color to kinda to get comfortable with it.
Nathan Cai: Thank you. That's helpful.
Operator: Our next question comes from Joanne Wuensch from Citi. Please go ahead.
Anthony Petrone: This is Anthony on for Joanne. Thanks for taking the question. Could you talk about your expectations for '26? Thank you.
Al White: For my side for fiscal twenty six, sure. We closed the year out well. Right? We had a good solid quarter. I think we're gonna have a good year next year. As I mentioned, you know, I think we'll do at least 25% in fiscal twenty six. There's a lot of reasons to believe that we're gonna be stronger than that, but we also have the Stellef launch that's happening here in The US. So we're we're building a little conservatism in because of that. I mean, right now, it's actually looking like it's a positive because you're just seeing so many people in the optical community talk about myopia control for children and how important it is and how it needs to be standard of care. So in my mind, there's no question that long term it's a significant positive, and it's a significant positive for my side. If I look at just fiscal twenty six, could that impact our revenues here in The US market a little bit? It could. Right? And if it does, we factored that in. That was our assumption, which is if we get negatively impacted, because it's the less in the very short term, the growth on MiSight might come down towards the the 20% range. But there's a lot of reasons to be more optimistic. I mean, MiSight's launching in Japan. That should be a great market. Not till Q2, but that's coming. MyDayMysight, as I mentioned, is that it's arguably, I'm gonna argue, the most innovative thing going on in the contact lens market, probably the most innovative thing by a wide margin. Going on in the contact lens market right now. That product launched it in Europe, we're gonna hit a few other countries in Asia as we move through the year. So there's a lot of reasons to be excited about MiSight right now. We'll see how the year plays out.
Operator: Next question comes from Brett Fishman from KeyBanc Capital Markets. Please go ahead.
Brett Fishman: Hey guys, thanks very much for taking the questions. Just had a couple of follow ups on some of the CVI assumptions for FY 2026. You were just talking about MiSight but maybe just drilling into the Japan launch. I think you mentioned today is planned for two q. I was hoping you can maybe just touch on how you're thinking about the longer term opportunity in that region. And then just, you know, coming back specifically to what's expected in the FY '26 guide. As a result of that launch.
Al White: Sure. Well, let me just be clear because the launch is for MiSight in Japan. We have we obviously have MyDay there now, although to be fair, it's pretty new, and a lot of the contracts are pretty new. So let me just bifurcate that quickly. Right? Because I think that my site itself going in Japan for the very first time should be very successful. That's an ophthalmologist market. A product like that that relies on clinical data And that's the key when it comes to MiSight. I Mean, There's Other Things You Could Do, But MiSight Is The Only Lens With This Really Strong Clinical Data. That'll Go Over Really Well In A Country Like Japan. So although it's a Q2 launch, it'll gain traction as we move through the year, and I would envision that's gonna be a really successful product towards the '26 and into '27. If I think about Japan on a broader basis, we just didn't have the amount of MyDay capacity that we wanted there. We weren't able to do a number of the private label contracts and so forth that we wanted to because, we didn't have product. As you as you remember, Brett, right, we we stopped being capacity constrained over the summer. Were able to aggressively go into all of Asia Pac, including Japan, and start winning the private label contracts. We've won a number of those. We're executing on those now. So the assumption is not anything Herculean. It's just that we execute under the contracts that we have. And, continue to get the product into the marketplace. So relatively straightforward stuff. And that's one of the reasons that we put guidance three and a half to four and a half in Q1. We did a three two this past quarter. Not saying that we're gonna get a hockey stick immediate ramp up. We're just saying we're gonna continue to get consistent solid improving performance.
Brett Fishman: Alright. Thank you for that color, and apologies if I misspoke. I meant to say my side. And then just circling back one other question. You know, you've talked about some of the distributor channel inventory dynamics in The Americas. And was hoping you could just update whether that had any impact on 4Q either negative or if there was some positive reversion. And then if you're still assuming a relatively neutral impact there for FY '26, Thank you.
Al White: Sure. Yeah. There was really nothing there. At the end of the day, from an inventory perspective, there's I didn't raise it because there was nothing to talk about.
Operator: Our next question comes from David Roman from Goldman Sachs. Please go ahead.
David Roman: Thank you. I'll I'll just ask two questions here quickly. Upfront. One is, can you give us just a little bit more detail on the nature of some of the reorganization efforts that you've undertaken here? And then what are some of the actions you're taking to ensure retention? You know, sometimes with these restructurings, they're unintended consequences of losing the right people you need to execute. The business on a go forward basis. What are you putting in place to ensure you have the right people to achieve the forward strategic objectives?
Al White: Yeah, David. Good question. On the reorg, it was pretty much across the board. With a heavy focus on kind of back office support. So we did look at all of our areas. CooperSurgical, a little bit more so because we had some integration related work and some Salesforce consolidation there. But there was a lot of leverage opportunity in our support function areas because of all the IT upgrades that we've done. And, frankly, you hear people talk about AI all the time. Well, it is real. And, you know, when we looked at at the AI that that we've deployed and our opportunities to leverage it, there were some good opportunities there. When I look at retention details, I mean, we have fantastic people here. We have great teams of people who are here. And the one thing that we're pushing on our organization right now is that we want everyone to embrace AI. Continue to embrace it. Continue to learn it. Make AI your friend, so to speak. I mean, because we made the moves that we needed to make in Q4, and our teams know that. And right now, it's about staying focused on executing, leveraging our growth, making all the appropriate moves. But one of the things that we wanna make sure we do here, we always try to do, is first and foremost, we promote from within. And that's just the key point. I mean, if I gave you the stats, you would be amazed. At how many promotions we have from within, and we're gonna continue to do that. We train our people, and we want our people promoted from within. We want everybody here being successful, making more money, and get ahead because we're a growing organization. We just need to do it intelligently so that we can really truly leverage this revenue growth on a go forward basis. And the company right now is so much more efficient than it was and less bureaucratic that, we're in a great spot right now to just do our jobs and execute.
Operator: Our next question comes from Anthony Petrone from Mizuho Group. Please go ahead.
Anthony Petrone: Thanks. And maybe one on CV, I want to strategic review. So on CVI, maybe a little bit on the private label business. How that trended in the fiscal year? Were there bigger opportunities out there that yeah, the gains or loss, how is that gonna set up for '26 as well just thinking in the private label trend? And then on on strategic, maybe just a recap on historically, what are the synergies of having CSI and CVI under one umbrella And then over the years, have you have you noticed any dis synergies? In other words, you know, has has capital allocation between those two businesses, is that you know, been an issue that could be resolved if if they were two separate entities? Thanks again.
Al White: Sure. On the private label trends, I would say I would probably point to the new private label contracts that we've won in The US and in Europe. There's some exciting stuff there. I'm not gonna go too far into it, but you'll see some of it because it'll be hitting and and making itself public in that in maybe even January, but February, March time frame. So I think that's gonna set us up well for, again, for Q3 and Q4 this year. To be good quarters for us. So I I I like the I like the momentum that we have in Asia Pac in some different areas. I'm probably equally excited about some of the newer contracts that we've won and that we'll be rolling out. On the strategic synergies, I would say from a capital perspective, we have always invested in CooperVision first and foremost. That's our main driver. We put our dollars there. You've seen that over the years in terms of new manufacturing lines and distribution center upgrades and IT upgrades and so forth. We've also done a number of deals, as you know, at CooperSurgical as we built that out. But the last one we we did was over a year ago. We did a little tuck in, in August the last year. So it's been a little while there. We've got a great business there. Right? Holly has pulled everything together and has a really much more efficient business today than it was a year or so ago. And and we've been because of that, we've been able to do that work and reallocate our capital, if you will, to share repurchases, and we're gonna continue to focus in that area. So I would say that that there's been no negative at all from a capital allocation perspective. The synergies that we have are back off synergies largely. And I talked about that and how we're just doing all that stuff more intelligently, but it's still back office type synergies. Those businesses still, to a great degree, run separately.
Operator: That concludes the question and answer session. We'd now like to turn the call back over to Al White closing remarks.
Al White: Great. Thank you, operator, and thank you, everyone. As you could tell, we had an incredible amount of work that was completed in this last quarter. And I'm excited that we were able to get on the phone with everyone today and go through those details and present it. And look forward to speaking with everyone over the the coming weeks. Thank you. Thank you for your time.
Operator: This concludes today's conference call. May now disconnect.